Operator: Good afternoon, ladies and gentlemen, and welcome to the Linamar Q4 2025 Earnings Call. [Operator Instructions] This call is being recorded on Wednesday, March 4, 2026. I would now like to turn the conference over to Linda Hasenfratz, Executive Chair. Please go ahead.
Linda Hasenfratz: Thank you, and good afternoon, everyone, and welcome to our fourth quarter conference call. Before I begin, I'll draw your attention to the disclaimer that is currently being broadcast. Joining me this afternoon, as usual, are Jim Jarrell, our CEO and President; and Dale Schneider, our CFO, both of whom will be addressing the call formally shortly. Also available for questions are Mark Stoddart and other members of our corporate IR, marketing, finance team. Okay. I'll start us off with some highlights of the quarter. I think a good place to start is always a quick reminder of the key value drivers that make Linamar such a great investment and how they played out over this past year. First, Linamar has a long track record of consistent, sustainable results driving out of our diverse business. Q4 and 2025 was another great example with exceptional earnings growth in our Mobility business more than offsetting soft markets in our Agricultural business. Being invested in both businesses helps trim big swings up and down in individual markets and leaves us with a more consistent, sustainable level of performance. The second key point is our flexibility to mitigate risk. Our equipment is programmable, flexible equipment that can be used on a large variety of types of products across different vehicle platforms as well as types of propulsion. This flexibility is allowing us to reallocate equipment from programs running under capacity to new launches, helping keep our capital build down, as you saw again in 2025 with CapEx down 24% despite a significant backlog of launches that we are actively investing in. Third, we have always run a prudent conservative balance sheet. We target keeping net debt-to-EBITDA under 1.5x. 2025 saw net debt-to-EBITDA at 0.77x despite significant investment in new businesses, such as the Aludyne acquisition as well as CapEx for new programs. Our peers are much more heavily indebted with net debt to EBITDA more than 2.5x. This creates financial stress and risk for them in times of soft markets and limits their flexibility, limits which Linamar is not restricted by. This gives us a huge advantage in the market. Lastly, returning cash to shareholders is a key value creation driver at Linamar as well. You saw that play out this quarter with our continued repurchase of shares in the market, which we have been steadily doing since November of 2024. Okay. Turning to highlights for the quarter and 2025. I would say it has been a really strong year that I feel like really well represents Linamar as an entrepreneurial, opportunistic, technology-driven business that is delivering growth for today and for tomorrow. We saw another record year of record earnings despite every market being down and a world devolved into a minefield of tariffs, an environment defined by uncertainty, volatility and profound structural change across the global economy. Those record earnings included outstanding growth for our Mobility segment earnings, which were up 47% in the quarter and 34% for the year. We saw great success in growing our technology portfolio with strategically important acquisitions, such as the Aludyne aluminum casting technology business as well as the GF Leipzig ductile iron casting facility. These businesses are bringing great new process capabilities to us that are already resulting in significant new business wins and quoting opportunities. Having more products and processes to sell, notably proprietary technologies that our customers are looking for absolutely expands the pathways of growth potential for us significantly. Not only is our team delivering on earnings growth again for the 13th year out of the last 16, that's 81% of the year, by the way, but also are delivering excellent free cash flow, almost $1 billion worth in 2025. Careful cash management is absolutely key in challenging economies, keeping us strong and flexible to jump on those opportunities out there. And finally, we are managing that tariff mine field very well indeed with a manageable level of tariffs that we are actively mitigating the impact of. I'll review the tariff situation in more detail in just a minute. Turning to the numbers. We saw sales at $2.5 billion, up 5.9% over last year despite tough industrial markets. Sales were down 13% in our Industrial business with both Ag and Access sales impacted. Sales, on the other hand, were up 13% in our much larger Mobility segment with 1.5 months of Aludyne and launching business offsetting soft markets that we saw in both North America and Europe. Normalized net earnings were $136.4 million or 5.4% of sales, up 22% over last year and normalized earnings per share was $2.28, up 25.3% over last year on the back of a very strong Mobility segment performance. I would summarize our results this quarter as being most impacted by launches and strong production sales on the Mobility side, of course, our Aludyne acquisition and that being partially offset by those weak industrial markets. Cash flow was very strong at $362 million. For the full year, our results were very strong as well. We saw sales of $10.2 billion, moderately softer than 2024 on those Industrial segment declines. But despite such, we delivered record earnings of $622.1 million or 6.1% of sales, another year of earnings growth and margin growth at Linamar. EPS hit $10.36, up 5.6% over prior year, driving out a strong Mobility segment performance. And as noted, nearly $1 billion of free cash flow to finance growth opportunities. Finally, let's have a look at an update on tariffs. Despite the myriad of tariffs put in place over the last couple of months, Linamar continues to have a manageable level of bottom line impact. The 232 metal derivative tariffs continue to be the only area of any reasonable impact to us and almost all that impact is for our industrial businesses. But the level is manageable, and we're actively working to mitigate the impact of these tariffs. New in the quarter were Section 122 and 301 tariffs established to replace the IEEPA tariffs deemed illegal. The good news is these tariffs have little to no impact on us. So there's 3 key reasons for all of this. Number one, we followed for a long time a strategy of producing product in the same continent as our customers, not chasing low-cost labor around the world. As a result, we're not making product in Asia or Europe that ships to the U.S., which would have triggered tariffs. For products that we're producing in Canada and Mexico and shipping to the U.S., our products are USMCA compliant for virtually everything that we're shipping in, meaning no tariffs for our customers on the Mobility side, where, of course, they are the importer of record or us on our Industrial products where we are the importer of record ourselves, unless caught, of course, by the 232 derivative tariffs that I just mentioned. Our largest business is our automotive business where our customers, as noted, are the importer of record and would, therefore, be responsible for paying tariffs in the event any become applicable. I do worry about the growing impact of tariffs on our automaker customers. However, as they continue to build up, whether they be metal tariffs, vehicle tariffs, price tariffs for offshore purchases, the cost to our customers as we have seen are in the billions, and there is concern about potential impact to vehicle pricing and therefore, demand longer term. A reality, unfortunately, we are already seeing play out. On the positive side, we are seeing customers looking at onshoring parts and systems. They are currently buying from Asia or Europe in this uncertain environment. We're building up a significant list of new business opportunities and business wins for our North American plants in all of Canada, the U.S. and Mexico. New business win and quoting activity is quite strong and actually in all of those regions. The U.S. is still respecting the USMCA agreement, meaning these parts can be supplied from the U.S., Canada or Mexico, tariff-free as long as they're USMCA compliant. Where the job goes will depend on where we have capacity, where we have experience and teams available to take on the work as well, of course, the customer preference. We're seeing great opportunities for our U.S. plants, particularly our newest acquisition, Aludyne. And we also saw a very strong year in 2025 for new business wins for our Canadian plants. In fact, we won more dollars of new business in 2025 for our Canadian mobility plants than we've seen in 3 years, and we are at a 5-year high in terms of Canadian plant wins as a percentage of global mobility business wins. Our strong, highly capable Canadian plants are really punching above their weight in terms of wins compared to their slice of our global footprint, which is great to see. I think it's key to note as well that our portfolio expansion, notably into additional structural components as a result of our acquisitions is dramatically increasing RFQ activity. This strategy has really played out positively for us. The tariff situation is also adding stress to an already stressed supply base, notably in the U.S. and Europe. This is leading to acquisition opportunities for us as you've seen us act on and the pipeline of distressed companies seems to just continue to grow. Finally, I want to emphasize that our strong results and positive outlook is very much a result of what I think is an excellent and unique business culture at Linamar. It's a culture that we've fine-tuned over nearly 60 years to be opportunistic, to be entrepreneurial, find something positive and actionable to grow our business regardless of circumstances. We are naturally responsive. We're nimble. We're fast. We're innovative. We're creative in dealmaking and mitigating challenging situations, and we get things done. These are critical elements to not just survive, but to thrive in a challenging time. So with that, I'm going to turn it over to our CEO, Jim Jarrell, to review industry and operations updates in more detail. Over to you, Jim.
Jim Jarrell: Great. Thank you, Linda, and great to be with everyone listening tonight. First, we are proud of our performance in 2025. As Linda mentioned, we generated excellent free cash flow, record normalized EPS and saw another year of strong Mobility margin expansion, all while positioning the business for the future expansion. These results reflect disciplined execution in a very challenging environment. There's a great thing people often forget what you say, what you do, but we'll never forget how you make them feel. In '25, we made our employees, our customers and our shareholders feel valued, respected and supported, which to achieve our mission to be supplier, employer and investment of choice. So I want to personally thank our employees across the organization for their GRIT, which stands for using our guts, resilience, integrity and teamwork to grow, grow our revenue, grow our income and grow our team. This was our focus in 2025 and remains our focus in 2026. Continued volatility, limited visibility and macroeconomic headwinds are testing companies globally, ever-changing tariffs, shifting consumer demand, disruptive technologies, cost pressures, talent shortages and regulatory changes are all part of the puzzle. But tough times don't last, tough teams do. And of course, Linamar is one tough team. What sets us apart is our entrepreneurial mindset. We just don't react. We attack every challenge and opportunity with purpose. We stay true to our long-term vision, operate with lean discipline and make agile, decisive moves. And I think we all witnessed last year, a great example of this in Linamar, 2 exciting and strategic acquisitions. Both Aludyne and Leipzig add over $1 billion of growth to Linamar. These businesses not only strengthen our technology base, but also expand our CPV, enhance our ability to serve global customers in key markets. So let's move over to our operating segments. Let's start with the auto industry. When we first started the year, lots of uncertainty surrounded our automotive business, consistent changes to tariffs cast a fog over our industry and led to significant negative assumptions. If I look back to market expectations for the year in terms of production, North America was expected to be down 9.3% for the full year, but ended up only down 1%. Similarly, Europe was much stronger than expected in '25 being down only 1.2% versus the original expectation of 3.1%. In Asia Pacific, originally expected to be up only 0.7%, ended up 6.9%, a region where Linamar is growing at an exceptional pace. Overall, global production was up 3.7% versus the original expectation being down almost 2%, a great resilient year across the auto sector. Looking at the most recent forecast for '26, North America is expected to be down 2.2% on fears of increased pricing pressure. Europe is expected to be down 0.4% as domestic demand is expected to grow, but will be offset by increased imports from Greater China. And Asia Pacific is expected to be flat as industry experts growth will slow as aggressive pricing in domestic market is met with marginal increase in end customer demand. Globally, this leads to a slight decline of 0.4% versus the prior 2% projected increase. Turning to Linamar's CPV performance for the quarter. Once again, we saw growth in all 3 of our regions. North America CPV was up 19.2% to $329. Europe was up 5.9% to $92.82, and Asia continues to see growth with an increase of 0.4% to $10.43. Globally, for the year, our CPV remained flat over '24, totaling close to $80. In Q4 and through the whole year, our commercial teams continue to deliver on our core goal, keep winning business. We secured a grand total of $1.5 billion, again, $1.5 billion in new Mobility business wins. One of our key internal sales program was coined MCMAGA, Make Canada, Mexico and America Great Again sales program. Pictured, you will see our most recent onshoring successes with structural engine components and 2 other key wins with Asian OEMs. As I've said through the past few slides, Linamar's Asian operations chase with key OEMs overseas has been a great success through '25 and will continue through '26. Linamar's long-standing strength in structural components supported by recent acquisitions, positions us well for continued growth. Turning to our Industrial segment, starting with Skyjack and AWP market. '25 was a market facing strong headwinds, sticky interest rates, tariff pressures and delayed infrastructure projects. There were many elements stacked against our Skyjack business. Despite these challenges, Skyjack delivered an outstanding Q4, growing unit volumes by 15.9% in a market that was down 1.5% globally. If we look at the full year, Skyjack demonstrated its GRIT and exceptional product quality with total unit volumes up 12.1% versus a market that was down 19% globally, an exceptional year of performance amid a negative environment. This success was driven by exceptional market share gains, especially in scissor lift globally and booms in Europe, '25 is a clear signal that Skyjack is winning with our innovation and customer connectivity. As I mentioned last quarter, it's important to note that volume growth doesn't always equate directly to revenue as product mix plays a key role with booms and telehandlers commanding higher prices than scissors. The real story, though, is Skyjack's ability to gain the market share and strengthen its position in a tough market. Looking at the expectations for this year, North America and Europe are expected to start to rebound with a growth of about 1.4% and 1%, respectively, and a sign that some of the recovery is coming when comparing to our Q3 outlook. Asia Pacific and Rest of World is expected to be softer in '26 with a decrease of 5.3% and an overall pretty well flat market outlook globally. For '25, our Skyjack team was recognized by the largest rental player, United as the Supplier of the Year recipient. This is a huge accomplishment, and I would like to congratulate our Skyjack team for demonstrating its exceptional performance, consistent quality delivery, reliability and partnership. On the innovation side, we're very excited to say that our new SJ28 All Electric Telescopic Boom has been launched specifically designed for China and Southeast Asia markets. Turning to the Ag business. '25 was a challenging year globally due to a multitude of factors. In North America, markets were pressured due to trade issues surrounding U.S. soybeans and Canadian canola, which has recently eased as China is now buying both again. Dealer inventories and credit lines have receded, though they are still elevated. There is a reluctance to stock whole goods and dealers are still remaining cautious about their inventory levels given farmer buying intentions. This is impacted by the large federal stimulus package, which was expected in 2025 that did not materialize. It was announced very late in '25, but will only begin to flow now in early spring of '26. And the benefits of that is expected really only to help the working capital and operating lines required to support spring crop inputs. Our Linamar Ag divisions, MacDon, Salford and Bourgault, all tracked largely in line with the North American market in '25. Being down 27%, although for the year, we saw market share improvements in key segments like combined drapers in the U.S. and Europe, tillage market share in the U.S. and air seeder market share also in the U.S. With a view to the coming year in the Ag cycle overall, some peers have stated that '25 was a trough, while others are saying later '26 before the industry turns positive again in '27. We will continue to monitor global trade tensions, government bridge payments and channel inventories to react to those market signals. As always, our focus at Linamar Agriculture will be on maintain market-leading positions, solution that drive technology, productivity improvements and global growth. Turning to some industry recognition. What an accomplishment by each of our brands, all of them, yes, all of them received 2026 AE50 Awards for top innovative Ag products released to the market in the past year. This is an incredible feat. And again, congratulate each and every one of our employees from these groups. We continue to deliver innovation across all of our groups, and I know our teams will continue to build and offer exceptional products to our end customers. Before I hand this over to Dale, I want to put our diversification in perspective. Linamar is not just an automotive or even a mobility company. We're an advanced manufacturing and product development company participating in a multiple global mega markets you see here on the screen. That distinction matters. It gives us access to a much larger opportunity set than a traditional auto supplier and allows us to apply our capabilities to scale, precision, quality and execution where the world is going next. Diversification is not a side strategy for it. It is a growth multiplier. And it positions Linamar to win across industries that matter for the future. '26 is shaping up to be an exciting year for Linamar as we take diversification to another level to build the next chapters of our growth story. A few areas in particular, defense, robotics and power energy are becoming more relevant platforms for our future. Defense is not new to Linamar. It's a return to our roots. With today's global environment and NATO commitments, our ability to deliver is a powerful advantage. We have made many inroads with prime manufacturers who are seeking Canadian and global partners to help safeguard the world. At the same time, our robotics business is gaining momentum. By leveraging our strength in precision metallic parts, electromechanical assembly, actuators and smart manufacturing systems, we have engaged global partners to position Linamar at the center of automation, collaborative robots and humanoid platforms. The technology foundation is out there and the opportunity is real. It's up to us to figure out how to capitalize on it. We're also expanding into power energy, highlighted by our new strategic partnership with Regen Resource Recovery to commercialize battery-grade graphite and strengthen the domestic supply chain, another example of Linamar moving with purpose in growth future-focused markets. The takeaway here is simple. Linamar is not defined by one industry. Automotive is proof of our capabilities, not the limit of them. We're a global advanced manufacturing and product development technology partner. So with that, I'll turn it over to Dale to walk you through the financial overview for the quarter and outlook for the year.
Dale Schneider: Thank you, Jim, and good afternoon, everyone. [indiscernible] covered at a high level the financial performance in the quarter. I'll jump directly into the business segment review, starting with Mobility. Mobility sales increased by $223.6 million or 12.9% over Q4 last year to $2 billion. The increase was driven primarily by several factors. First, we saw higher sales related to our Linamar Structures acquisitions, which contributed meaningfully to the quarter. Second, there was a favorable impact from changes in FX rates compared to last year. In addition, sales benefited from launching programs and higher volumes on programs where we have substantial content. These positive factors are partially offset by lower production on certain ending programs as well as reduced volumes on certain electric vehicle programs, which continue to be impacted by softer volume demand. Q4 normalized operating earnings for Mobility were up 47.3% over last year to $132.1 million. The improvement reflected earnings contributions from the Linamar Structures acquisition, benefits from launching programs and higher volumes of programs where we have substantial content. These positive factors were partially offset by lower production on certain ending programs and EV programs. In addition, executive management bonuses were reinstated in Q4 '25, whereas no bonuses were awarded in Q4 2024 due to the impairment losses in that period. Turning to Industrial. Sales decreased by 13.2% or $84 million to $553.1 million in Q4. The decrease reflects softer demand across both of our end markets in Access, lower overall market demand weighed on sales, although this was partially mitigated by continued market share gains in scissors globally. In Agriculture, sales declined in line with the market and was significantly down despite market share gains in both U.S. and Europe. These items were partially offset by a favorable foreign exchange impact compared to Q4 last year. Normalized Industrial operating earnings in Q4 decreased $23.5 million or 25.7% over last year to $67.9 million. The earnings decline reflects the continued pressure across both the Access and Agricultural end markets, resulting in lower sales volumes despite market share gains achieved in each. In addition, the quarter included a moderate impact from tariffs on certain Industrial products. These impacts were partially offset by favorable FX rates compared to prior year. Starting with our overall cash position, which came in at $911.1 million on December 31, a decrease of $143.5 million compared to December '24. During the fourth quarter, we generated $471.4 million in cash from operating activities, which was partially used to fund CapEx and debt repayments. Turning to leverage. Net debt to EBITDA was 0.8x at the quarter, an improvement of from 1x a year ago. The non-available credit on our credit facilities was $1.2 billion at the end of the quarter. Our liquidity at the end of Q4 significantly increased to $2.1 billion. Our 2025 NCIB program launched in Q3 will expire on November 16. This program authorized the purchase and cancellation of 3.9 million shares. To date, we have returned nearly $39 million to shareholders through the repurchase of approximately 462,000 shares. This brings our total cash return to shareholders since November 24 to nearly $139 million with the purchase and cancellation of approximately 2.2 million shares. This reflects our disciplined capital allocation strategy, which is maintaining a strong balance sheet, investing in growth and returning excess cash to shareholders. Turning to the outlook. I will outline Linamar's expectations for 2026, focusing on our Mobility and Industrial segments for Q1. Our guidance for 2026 is unchanged from what was announced at our last earnings call. Please note, we are not providing segment level guidance for the full year '26 at this time due to the elevated volatility in the global markets and ongoing geopolitical uncertainty, which makes longer-term segment forecast less reliable. Turning first to Mobility segment. Our outlook for the first quarter remains very strong. We expect double-digit growth in sales and double-digit growth in normalized operating earnings, supported by ongoing program launches, contribution from recent acquisitions and continued operational improvements across the business. Margins in the first quarter are expected to continue to expand and move further into our normal range, reflecting the improved mix, strong launch execution and sustained cost discipline. For our Industrial segment, market conditions remain challenging as we enter into the first quarter. We expect lower year-over-year sales and normalized operating earnings, driven primarily by double-digit declines in both Ag and Access equipment end markets. Margins in the first quarter are expected to be within our normal range though. Overall, we expect year-over-year growth in normalized earnings driven by Mobility performance, while Industrial remains pressured by significantly weaker Agricultural and Access equipment markets. Free cash flow generation in the quarter is expected to be positive, supporting our very strong balance sheet and low leverage. Capital expenditures will continue to reflect our disciplined approach with spending focused on launch activity while remaining below our normal range as a percent of sales. Looking ahead at 2026, we continue to expect normalized earnings and margins -- sorry, expect growth in normalized earnings and margins supported by our strong Mobility performance and disciplined execution across Linamar, partially offset by continuing pressure by the Industrial end markets. In Mobility, strong top and bottom line growth is expected to be driven by ongoing launches and full year contribution from the recent acquisitions of the Aludyne North American operations and the Leipzig casting facility, which will support both sales and earnings. Importantly, this growth is expected despite the vehicle market forecast to decline by 0.4% globally in '26 with North America to be down roughly 2.2%, underscoring the strength of our content growth, launch execution and operational performance. In Industrial, market conditions remain mixed. Agricultural equipment markets are expected to remain down year-over-year in '26 with global volumes down mid-single digits and North America experiencing a more pronounced double-digit decline. That said, the rate of decline is moderating, and we expect stabilization in the second half versus 2025. Access equipment markets are expected to be relatively stable and steady with modest global declines, partially offset by low single-digit growth in both North America and Europe. Free cash flow generation is expected to remain strongly positive, supporting our very strong balance sheet, low leverage and disciplined capital allocation approach. Capital expenditures are expected to increase from prior year levels, reflecting ongoing launch activity while remaining below our normal range as a percent of sales, consistent with our continued focus on capital efficiency. Overall, while the market conditions remain mixed and visibility remains limited, Linamar enters 2026 with strong financial flexibility and operational resilience, positioning the company well for continually delivering earnings growth. In summary, Linamar delivered a strong quarter and exit '25 with record normalized earnings, a very strong balance sheet and excellent liquidity. We are well positioned to invest in growth, navigate volatility and continue to return capital to our shareholders. Thank you, and I'd like to open up for questions.
Operator: [Operator Instructions] Your first question comes from Ty Collin with CIBC.
Ty Collin: Maybe the first one, just on the quarter. Mobility margins came in a little bit lighter than I was expecting despite some pretty strong top line performance in the segment. I guess is there anything specific to call out there apart from the bonuses that you already mentioned? Or should we really be looking at things on a full year basis as a starting point for thinking about 2026?
Linda Hasenfratz: I mean I think Mobility margins always soften up a little in the fourth quarter. That's not unusual at all. And frankly, reaching 7.5% for the full year, which is our normal range, I think, is pretty fantastic. So pretty happy with our performance in the quarter.
Jim Jarrell: Yes. I think the -- a couple of the issues that, as Dale mentioned, the bonus, obviously, one thing. There was some impact of Novelis, JLR and a little bit of next period. But again, that was offset with some upside with the Aludyne, which we closed in mid-November -- I guess we closed mid-November. So that would have had a few weeks in there before shutdown.
Ty Collin: Okay. Got it. Got it. And I appreciate you didn't really want to give specific guidance by segment for 2026, given some of the uncertainty. But I mean can you give any sort of high-level color on how we should think about operating margins in each segment compared to 2025 or any sort of puts and takes that we should keep in mind there?
Linda Hasenfratz: I mean we're a little hesitant to provide segmented outlook as Dale, I think, perfectly stated due to some of the uncertainties around markets. I mean I think the good news is our outlook for this year is absolutely unchanged. I mean we are looking for growth, top line growth on the bottom line. We're going to expand our margins. And I think that's a real positive. If you take a look at the Q1 guidance, obviously, the trends are continuing from last year with strong Mobility Group performance. And as Dale also mentioned, it's a tougher start to the year for Industrial, but we do see the market declines moderating through the year. So that should give you a bit of a sense. And we'll have a better -- a little bit more clarity for you next quarter as we can see the year shaping up a little more clearly.
Ty Collin: Okay. Great. And if I could just sneak one more in. Just wondering if you could share some updated thoughts on Aludyne now that you've been under the hood for a few months there. How has that been performing compared to your expectations? And what sort of opportunities do you see for that platform going forward?
Jim Jarrell: Yes. I would say it's going to plan and probably a little bit better than planned. And I would say the amount of business opportunity that it has created with the structural segment that we're now in a deeper way and having some U.S. facilities has created a lot of opportunities and new business wins, quite frankly, I'm pretty pumped up about our new business wins year-to-date based off of the structural casting side, which has been super [ marked ], right? I mean that's been probably out of the gate for the first couple of months, the best we've ever had. And so I think it's creating a lot of opportunities and having a new good trusted operator is probably the key for that reason of getting growth.
Operator: [Operator Instructions] Your next question comes from Brian Morrison with TD.
Brian Morrison: Congratulations on the quarter. It looks like free cash flow was insane yet again, positive outlook for next year. When you talk about the highlights or the distressed global asset opportunities, do you need to digest the current acquisitions before potential more M&A and we should think about NCIB near term? Or both really remain at the forefront or both are equally top of mind right now?
Linda Hasenfratz: I mean we're continuing with the NCIB. As I stated in my comments, I think we've been pretty consistent with our buyback, and we remain committed to that. As noted, we -- there's lots of opportunities out there, certainly on the distressed or otherwise side. So like anything, you look at what have I got the cash for, what do I have the people for. And one thing I know is we've got a lot of cash, and we've got a lot of super strong and talented people. So there's a time when you need to be opportunistic if the deal is right.
Jim Jarrell: Yes. And I would just add, Brian, to the distress side, as Linda mentioned in her comments, like there's no shortage of that. And I would particularly point you to Europe as a real key area for that distress because, again, capacitization and they probably don't work as fast on consolidation or making decisions. So I think there's a real catalyst over there that we continue to work on. But one key underlying thing for us to ever do a distress, you need to have the backing of the customer, right? The customer group has to be engaged. And it just takes -- again, in North America, probably a little easier to do that than it is in Europe. So we find that it takes probably a little longer in Europe.
Mark Stoddart: I'd also add, Brian, that the integration of Aludyne has gone very well. And so it's not like we have lack of resources if we were to look at other M&A activities right now.
Brian Morrison: Okay. And just when you mentioned defense and robotics, is that organic growth that you're looking for? Or are we going to be talking about M&A for critical mass?
Jim Jarrell: Basically organic. I mean again, these prime defense contractors, if you think about us now talking about 5%, right, of GDP being pushed through, they need to have manufacturing partners in North America or Canada, I should say, directly. And so when we connect with those prime manufacturers and provide them our experience and history around defense, they get pretty excited. And I think the condition of a prime to get a contract out of the Canadian government, we'll be having partners as well. And then on the robotics side, the partnering, I was in China and just connecting with good technology partners that have advanced robotics in collaborative robots and humanoids, and they obviously need a support of a company to distribute or make things in North America. So that's how we're doing it. So really not on an acquisitive side, more on an organic growth side.
Brian Morrison: Okay. And maybe one more for me. Just last question. Jim, last quarter, when you and I spoke, we talked about the Mobility margin. It was just asked previously, but I just want to drill down a bit more on it. You did imply that Q4, it should be consistent with what it was in Q3, maybe a bit softer because of seasonality, I get it. But when I strip out Aludyne, it doesn't seem like that should have any impact. So it does seem a bit softer. Is that just -- were you expecting the bonuses to be in Q4? Or is there any other factors that may have weighed on the margin?
Jim Jarrell: Yes, Brian, not really that I can come up with. It could be some mix issues, some higher margin issues maybe dropped off earlier or something like that. But really, there would be no real big cost changes or anything like that other than the bonus that Dale you mentioned, right?
Brian Morrison: And sorry, just to be clear, was that anticipated when you made your Q3 commentary or no?
Jim Jarrell: Yes, I would say we would have had that factored in for sure.
Brian Morrison: Okay. But steady as she goes, building up to 7.5%.
Linda Hasenfratz: Let me just add to this margin discussion as well. You would have noticed in the MD&A that we mentioned that FX was a factor on the sales side, but not a factor on the earnings side. I mean as you know, we have formal and informal hedges. So that has a real impact on margins as well, right? If your top line is getting beefed up by FX and you're not seeing bottom line flow through at the same level, then that's also going to be impactful. So I think that's worthwhile noting.
Operator: We now have a question from Jonathan Goldman with Scotiabank.
Jonathan Goldman: Maybe just another one on margins with this time on Industrial. I think you were talking about contraction below the normal range in Industrial for the entire year. It looks like you beat that a bit. And if you were to take the guidance for the full year previously, it would imply a margin in Q4 about 10.5% at best. It looks like you beat that by 200 bps. So I'm just trying to find out maybe what are the drivers of that beat, if anything kind of differed versus your expectations?
Linda Hasenfratz: Yes. I mean I would say in the Industrial segment, mix is a big factor. So how much is Agriculture versus how much is Access because the margin profile is different. So to me, the bigger impact for Q4 was a strong quarter for the Ag guides, stronger than we would have expected. So margins did come in a little stronger than we thought.
Jonathan Goldman: Okay. That's good color. I appreciate that. And I guess another one, another strong quarter for Access, material outperformance versus your end markets. You did talk about how it wouldn't be 1:1 volume to revenue growth because of mix and pricing. But how should we think about outperformance being sustained into 2026? And could you remind us of the different drivers that are supporting the outperformance?
Jim Jarrell: Yes. I mean for 2026 on the Access side, overall, the global, we're looking at flat in North America, up a little bit, Europe up a little bit and then rest of world down. So again, from that perspective of the market, if you track the market, we should have a little bit of an uptick on the Access market for our [indiscernible].
Jonathan Goldman: Okay. That's good color. And then maybe one more on capital allocation. And you obviously have your priorities listed in the presentation. But if you were given a menu of only 2 options here between a buyback and M&A, what's more attractive?
Linda Hasenfratz: Well, I mean obviously, growing your business is -- from an M&A perspective, is going to be more attractive. I mean our first priority, we have been very clear when it comes to capital allocation is growth. We want to invest in a business that's going to generate earnings year after year and create growth in itself. So 100% is our first priority is always to invest in growth. Sorry, but just to finish, we're also committed to returning cash to shareholders. That's why we put our capital allocation framework in place last year to say, number one, strong balance sheet; number two, growth; and number three, we're going to return cash to shareholders. And we've been pretty consistent with that over the last couple of years with NCIB and a good track record of continued increase in dividend.
Jim Jarrell: Yes. And just to add, and this is just this maybe subjective comment, but you saw out of the gate, GRIT. So we have a major focus in the company, grow your revenue, your income margin and your team. And we believe strongly that it's up to us to keep growth on the top line and bottom line and add teammates for our employees to be satisfied. So really a strong focus and a very strong entrepreneurial culture, too, and it really is important to keep people motivated for the growth side.
Jonathan Goldman: Definitely. It's nice to see the results reflected in the share price as well.
Operator: As there are no further questions at this time, I will now turn the call over to Linda Hasenfratz for closing remarks. Please continue.
Linda Hasenfratz: Great. Thanks so much. Well, to wrap it up, I'd like to leave you with our key message for the quarter, which is identical to what I started out with. Linamar is continuing to deliver on earnings growth with now 81% of the last 16 years, registering bottom line growth. Notably, almost every one of those years, double-digit growth. That is an outstanding performance and really the definition of consistent sustainable growth. Number two, strong growth in our product and process offering, largely through acquired technologies is dramatically increasing our addressable market in our Mobility business and leading to exciting new growth opportunities. Number three, we are generating exceptional levels of free cash flow to fund those acquisition opportunities and organic growth while keeping our strong balance sheet intact. And finally, not only is the tariff situation manageable, but we are actively leveraging such to find new opportunities for growth successfully. So thanks very much, everybody, and have a great evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.